Operator: Good day and welcome to the Cousins Properties Incorporated First Quarter Conference Call. Today’s call is being recorded. At this time for opening remarks and introduction, I would like to turn the call over to Tripp Sullivan of Corporate Communications.
Tripp Sullivan: Good morning. Certain matters that the company will be discussing today are forward-looking statements within the meaning of federal securities laws. For example, the company may provide estimates about expected operating income from properties, as well as certain categories of expenses and other future financial results along with expectations regarding intended use of proceeds, leasing activity, development, acquisition, financing and disposition opportunities. Such forward-looking statements are subject to uncertainties and risk, and actual results may differ materially from these statements. Please refer to the company’s filings with the Securities and Exchange Commission, including its Annual Report on Form 10-K for the year ended December 31, 2012 for additional information regarding certain risk and uncertainties. Also, certain items that company may refer to today are considered non-GAAP financial measures within the meaning of Regulation G, as promulgated by the SEC. For these items, the comparable GAAP measures and related reconciliations may be found through the quarterly disclosures and supplemental SEC information links on the Investor Relations page of its website at www.cousinsproperties.com. And now, I’ll turn the call over to Larry Gellerstedt.
Lawrence L. Gellerstedt III: Good morning, everyone. Thank you for joining us. We’re really excited about our first quarter results. With the acquisition of Post Oak Central in Huston and solid performance throughout the operating portfolio, we continued to make progress across all fronts. And with three major transactions completed subsequent to quarter end, we continue to move forward aggressively with our strategic plan. Our strategy is centered on three things; simple platform, trophy assets and opportunistic investments. Our portfolio is increasingly comprised of Class-A office assets that are well-placed within high-growth Sun Belt markets, where our expertise and long-term relationships are competitive advantages. Further playing to our strengths, we are using this stable platform to seek additional returns through opportunistic investments. The first of these items, simplifications, drives cost saving and enables us to remain focused where we are strongest. Latter to leasing and investment should drive future NAV growth both organically and externally. I’ll briefly provide an update on where we stand with each of these objectives. In terms of simplification, the office portfolio now accounts for over 83% of our net operating income, up from 70% in the first quarter of 2012. We are in the process of marketing two additional retail centers, the Avenue Murfreesboro and Tiffany Springs Marketcenter, which will further streamline our operating portfolio. Land holdings now account for only 3% of our asset base, down from over 15% a little over year ago. On the leasing front, the operating portfolio is in good shape at 91% leased on the same property basis. Year-to-date, overall activity has picked up while deal economics continue to gradually improve. In our Texas markets, we are seeing some rent growth; in Atlanta, we are seeing tightening on tenant concessions. We are particularly encouraged that some of our smaller mid-sized tenants are now looking to expand, a trend that we haven’t seen in quite some time. The first quarter leasing activity was very solid, highlighted by a couple of significant leases. Most notably, we signed a 99,000 square foot lease with Lockton Companies at 2100 Ross and Dallas. We also signed a 39,000 square foot lease with Kiers at Promenade in Midtown Atlanta. Kier cited our significant renovation work and strong relationship is key factors in their decision. We extended leases with the anchor tenants in both of our medical office building. Emory Healthcare renewed on a 130,000 square feet through 2032 in our office tower and Emory University Hospital in Midtown. This extension enabled us to refinance the mortgage at very favorable terms, which Gregg will highlight in his remarks. We also signed a 10-year renewal in Northside Hospital, the 43,000 square feet in Meridian Mark Plaza. Our leasing efforts are particularly focused on five key office properties: Promenade, 2100 Ross, 816 Congress Avenue, 191 Peachtree Tower and American Cancer Society Center. The first three are relevantly new additions to our portfolio and were acquired with significant vacancy in place. Collectively, these five buildings provide us with a very compelling value creation opportunity. Promenade had a nice pickup with Kier’s lease in the first quarter. On the flip side, as expected, Norfolk Southern vacated their 35,000 square foot short-term space last month. Norfolk Southern’s Atlanta headquarters is next door to Promenade and we hosted one of their divisions for the past year while they completed some renovation work. We are in advanced discussions with a prospect that would bring our lease percentage to the mid-80s. As a reminder, the building was just 58% lease when we bought it less than 18 months ago. 2100 Ross finished the quarter at 77% lease, up from 67% lease upon the acquisition late last year. Our capital improvement plan and the vibrancy surrounding the Newpark continue to generate significant tenant interest and we hope to announce additional deals at the coming months. Activity at 191 remains steady, yet moderate. 2012 was a good year for our flagship Tower, having increase from 82% to 87% leased and we are looking to eclipse the 90% mark in 2013. At ACSC, activity has picked up, but there are no significant leases to report at this point. We do expect to finalize a renewal from the 36,000 square foot tenant in the very near future. ACSC was in the hunt for a large space requirement from the Coca-Cola Company, but we ended up not having enough space to reach to meet their requirement. The good news is they will be occupying 300,000 square feet in the SunTrust Tower in Downtown Atlanta, which will bring over 1,500 employees downtown from the northwest sub market. It’s also worth noting that downtown sub market will benefit from close to $2 billion in new investment over the next few years, including a new a Falcon Stadium, the downtown streetcar, the College Football Hall of Fame, the Center for Civil and Human Rights, the Emory Proton Therapy Center, new law school building for Georgia State and several additional student housing developments. All of this activity should drive additional tenant interest downtown in the coming years. On the investment front, we acquired Post Oak Central, a 1.3 million square foot office complex in a great location in the Galleria submarket for a purchase price of $232.6 million or $182 a square foot, which is approximately 45% below our estimate of replacement cost. The project was 92% leased at the time of purchase. Our development team has already begun implementing improvements throughout the project and the leasing team has already executed leases that take the building to over 94% lease. We close yet another compelling value acquisition last week with the purchase of 816 Congress Avenue in Austin, Texas. We paid $101.5 million, approximately 30% below replacement cost for this 434,000 square foot Class-A tower located in the heart of the CBD, just a couple of blocks from the Texas State Capital. Partly due to unstable sponsorship, the building loss some key tenants in recent years and is currently 78% leased. The CBD submarket is 90% leased with strong momentum, so we’ll have the benefit of a rising tide as we work to stabilize the building. The 816 purchase is particularly significant because of how we capitalize the transaction. Concurrent with the announcement of the acquisition last month, we launched an overnight equity offering that generated net proceeds of $165 million. We’re pleased with the execution of the offering and the strong demand from institutional and retail investors. Alike, we recognized the progress we’ve made over the past two to three years. This was important in many respects, most important, providing the capital that we were able to immediately deploy to an attractive value add acquisition such as 816 Congress and enabling us to redeem our Series A preferred stock, which we will do next week. At further, sourced and enhance our solid balance sheet and for writers with even more flexibility as we continue to execute our strategy. Regarding the prospects for future acquisitions, the volume of opportunities is encouraging and we hope to execute at least one or two additional deals this year. Now moving on to the development pipeline. At Emory Point, the retail space is approximately 90% committed with only three vacant spaces remaining. The important component is ahead of schedule approximately 60% leased with economics to continue to exceed our expectations. Phase II is still progressing towards a late summer commencement, Mahan Village, our Publix anchored development in Tallahassee finished the quarter at 91% lease and is on track for full stabilization in the coming months. 123 West Franklin, our mixed use development at UNC, Chapel Hill remains on track for a 2014 start. In Austin, Texas, the pre-development work continues at Third and Colorado, our 370,000 square foot proposed office tower in the central business district. We are confident that we will be announcing construction in the very near-term, the start of the construction in the very near-term. Before passing it to Gregg, I wanted to briefly highlight the employment trends in our core markets, which include Charlotte, Raleigh, Atlanta, Dallas, Austin and Houston. Trailing 12-month job growth in these six markets ranged from 2.5% to 4% with Houston and Austin leading the pack at 3.8% to 4.0% respectively; compare this to the overall job growth of the United States of 1.4%. Looking forward PPR is projecting annual employment growth of 2.5% to 3.6% for our markets through 2017, compared to 1.9% the nation overall. These demographic tailwinds were not essential to the execution of our strategy or certainly a welcome companion. In closing, it was a very active and productive first quarter. we remain focused on three objectives, all of which tied directly to our overall strategy; simplification, leasing and executing investment opportunities. The upside potential associated with each of these is considerable and we believe we will be the key to driving superior results for our shareholders in the months and years ahead. With that, I’ll pass it on to Gregg for an overview of the financials.
Gregg D. Adzema: Thanks, Larry. Good morning, everyone. Overall, we had a very productive first quarter, lots of positive transactions and capital markets activity. From an earnings perspective, FFO was $0.11 per share. And although all of this activity had an impact in FFO for the quarter, goes up and down, there is one item that may not be obvious in the face of our financials that I’d like to point out this morning. A significant portion of our long-term compensation here at Cousins is driven by the relative performance of our shares versus our peer shares. In that regard, we had a terrific quarter and a long-term compensation accrual reflects that. This entire accrual runs through our G&A line item and it resulted in a large spike during the first quarter in the G&A expense number on our income statement. Without this non-cash accrual adjustments, G&A would have been about $1.5 million lower and FFO would have been about a $1.5 million higher during the first quarter. FFO would have been $0.12 instead of a $0.11. If there was ever a good variance to have in G&A, this is it, both our shareholders and our employees win. And despite this pop during the quarter, we are still maintaining our prior full year 2013 G&A guidance of between $20 million and $22 million although we will likely to be at the top end of that range for the year. With that let me move on to providing an update on the embedded NOI associated with the bid for assets. If you recall back in the summer of 2012, we identified three large assets in our portfolio that had significant upside potential due to existing vacancy; 191 Peachtree, Promenade and The American Cancer Society Center. Upon the purchase of 2100 Ross during the third quarter of 2012, we expanded this list to four assets. We estimated that bringing these assets to 90% occupancy will generate approximately $13 million in embedded NOI. As of March 31, we had signed net new leases representing about $5.8 million of this total and had already begun recognizing revenues on those leases representing about $2.3 million on an annualized basis. With the purchase of 816 Congress at the quarter end, as Larry said earlier, we’ll expand the pool to five properties. This addition will increase our previous $13 million embedded NOI goal to $14.5 million going forward. We also continue to successfully lease up our two new developments during the quarter; Emory Point here in Atlanta and Mahan Village in Tallahassee. The combined NOI from these assets still hasn’t stabilized, but it’s growing steadily, moving up from $46,000 in the third quarter of 2012 to $400,000 in the fourth quarter and $700,000 this quarter. Before moving beyond operations, I thought it might be helpful to discuss our property operating margins. Since the key part of our strategy is to develop new properties and purchase value add properties and to oftentimes fund these new investments with the sale of stabilized properties, it’s critical to look at our same-property pool when analyzing operating margins. And the trend here is very good. Our same-property operating margins during the first quarter was 62%, which is an increase both sequentially and on a year-over-year basis. This progress is a testament to both the continued implementation of our focused strategy as well as our hard working management team. I’d also like to provide a quick note on the same-property reporting schedule on page 14 of our earnings supplement. This schedule had a couple of small calculation errors including not properly adjusting prior periods to reflect our new ownership percentage in Terminus 100 and Terminus 200. With this specific metric, there is no change to current quarter numbers, only previous quarter numbers. After these adjustments, we should now provide a true apples to apples comparison. Our same-property leased percentage in the fourth quarter of ’12 is 90%. We posted an updated page 14 in the supplement on our website. With that let me move beyond operations. We’ve had a very productive year so far in the capital markets area. During the first quarter, we closed on a new mortgage at Terminus 200 as part of the larger Terminus Post Oak transaction Larry discussed. It’s an $82 million, non-recourse, 10-year, fixed rate mortgage at a rate of 3.79%. Subsequent to quarter end, we also closed on a new $75 million non-recourse, 10-year, fixed rate mortgage at our Emory Midtown Medical Office Tower at a rate of 3.5%. These are both great pieces of debt that allow us to lock in at attractive long-term cost of debt. Also subsequent to quarter end as Larry mentioned, we successfully completed a follow on common equity offering where we sold 16.5 million shares at $10.45 per share, raising about $165 million after fees. This offering was specifically earmarked to fund our purchase of 816 Congress and to redeem all of our outstanding Series A cumulative preferred stock. This is a great long-term execution with positive implications for both our earnings and our already strong balance sheet. Looking forward, as Larry said, we have two large retail assets in the market right now; the Avenue Murfreesboro and Tiffany Springs MarketCenter and we’ve identified several additional non-core assets for potential disposition in 2013 as we explore and underwrite new investment opportunities. We’ll evaluate all of our capital options at the time we tie one up, including asset sales and determine the most appropriate source at that time. With that, I’d like to update our guidance for 2013. Before starting, I want to remind everyone that we only provide data for specific property assets where historical performance may not exist or may not be a reasonable guide post for future performance. We also provide guidance on fee income as well as G&A expenses. At 191 Peachtree, we had a terrific first quarter, exceeding our previous guidance driven by a lot of positive small items that added up to a relatively big beat. Going forward, we expect to generate approximately $4 million in second quarter NOI for this property, increasing to $4.2 million per quarter by the end of the year. At Promenade, we also exceeded our previous guidance in the first quarter driven primarily by strong parking revenues. However, with Norfolk Southern moving out as Larry mentioned, we expect a slight downtick in second quarter NOI to approximately $2 million, moving back up to $2.25 million by year end. 816 Congress, our new acquisition, will generate an average quarterly run rate of between $1.4 million and $1.5 million in 2013. The second quarter will be a bit lower due to the April closing. That’s all the property guidance we’re providing at this time. Again, other than these specific instances, historical performance of previous guidance is a reasonable guide post for future cash flows. Regarding G&A expenses, as I said it earlier, the range for 2013 remains unchanged between $20 million and $22 million with our current forecast putting it at the to top end of this range driven by non-cash compensation accruals tied to a relative total return. Finally, if you don’t have it in your earnings estimates already, please remember that per GAAP, the preferred redemption, which closes next week will result in a non-cash charge of the original underwriting costs, which includes $2.8 million and that will happen in the second quarter. With that, let me turn the call back over to the operator for your questions.
Operator: Thank you. (Operator Instructions) And our first question comes from the line of John Guinee with Stifel Nicolaus. Please proceed with your question.
John W. Guinee – Stifel Nicolaus & Company, Inc.: Well, congratulations. You guys are becoming very boring and mundane. This is great, wow. So I think what’s going on right now in the South East is everybody has kind of figured out that the blue state red state thing is for real and that the real job growth in this country is going to be in the Sun Belt. Red states right toward states et cetera; that’s great news. The bad news is that everybody and their brothers are looking for deals and there is no more Acorns. Acorns on the ground, the 2100 Ross is long gone. You guys make a great purchase et cetera. So the question I would ask is two questions, one, what do you think of the multitude of markets down in Florida and two, where are there still some untapped opportunities?
Lawrence L. Gellerstedt III: Good morning, John. I think you must have been talking to my wife because I’ve got my 35th anniversary next week if boring and mundane would probably be her lead title on me. So I hate you starting out with the personal question. But like in all seriousness, I think your observations in terms of the markets and the job growth as highlighted must feature right on point, and the type of opportunities on acquisitions that we look for in terms of the value-add with the vacancy or the repositioning are getting harder to find particularly in the Texas markets, and I’m sure that’s no surprise. We still think we have our eye on some stuff, nothing that’s in process, but we think there’s still some opportunity in Atlanta for something to look at. And we still have our eye on some things up in North Carolina. in terms of expanding to new markets, we constantly are looking at markets throughout the Southeast, including Florida. But we really – if we go to a new market, we want to be thoughtful about that and make sure it’s a market that we are looking at not just for a transaction, but for a longer-term because so much of our platform performance depends upon having boots on the ground and having relationships in those markets. So I’m not discouraged with the acquisition pipeline right now, but I think you are right on point in terms of a lot more interest than a year ago and pricing in certain markets didn’t pushed up beyond levels we’re comfortable with.
John W. Guinee – Stifel Nicolaus & Company, Inc.: Talk to you in a few months. thanks.
Lawrence L. Gellerstedt III: Thanks, John.
Operator: Our next question comes from the line of Brendan Maiorana with Wells Fargo. Please proceed with your question.
Brendan C. Maiorana – Wells Fargo Securities, LLC: Yeah, thanks guys, good morning. So Larry, I guess, if I did the math on 816 Congress right, it looks like on a stabilized basis, if you get an additional $1.5 million, it’s probably high 6s cap rate yield on cost. And then you probably got some rent growth on top of that because I think rents are below market, so that’s sort of the kind of world that you guys are looking at now in terms of return expectations that we should look forward for the new deals you’re looking at as well?
Gregg D. Adzema: Hey, Brendan, it’s Gregg. The billing in cap rate on 816 Congress is actually high 5s, so not high 6s, high 5s if you just…
Brendan C. Maiorana – Wells Fargo Securities, LLC: Yes, sorry, I was kind of giving you credit for the 1.5 million of – taking the difference from the 13 million of NOI growth on your big four assets, and then 14.5 million on your big five, I guess. So giving you 1.5 million credit stabilized, no rent growth. It was sort of how I was coming up with high 6s. So I was wondering if that’s sort of, let's say, high 5s going in, high 6s maybe stabilize before growth, is that sort of the deal parameters that you guys still think hold in the markets that you're looking at?
Gregg D. Adzema: Brendan, I can’t disagree with your numbers, but let me take a step back and tell you kind of how we look at it. We underwrite – when we got a building on 816, we underwrite the in place rents as kind of a core investment for us, right. And so we look at that relative to the other core investments available on that market. And now we underwrite the vacancy much like we’d underwrite the development opportunity with a lot of those risks because you don’t have any construction risk. The building exists you just kind of lease it up. And so we get comparable returns on that vacant space as we would get with the development oftentimes. And then it’s the mix – the weighted average of those two where we arrive at an acceptable return on the investment. So that’s how we are very approaching these assets and 816 penciled out just like all the previous ones have. And when you push all those two together because of the vacancy, it’s really important to look beyond the cap rates. We look at an unlevered IRR what we believe to be reasonable hold period. And 816 is generating very reasonable returns in that regard.
Brendan C. Maiorana – Wells Fargo Securities, LLC: Yeah. Are you guys pushing the IRRs down at all just because it’s gotten more competitive out there?
Lawrence L. Gellerstedt III: We haven’t actually, yet.
Brendan C. Maiorana – Wells Fargo Securities, LLC: Okay. And then Gregg would you – I think you or Larry mentioned that you’d like to get one or two more deals done this year. It seemed like the execution of 816 along with taking out the preferred and raising equity worked really well for you. Do you still have the Series B out there? Would that be something that would be under consideration for part of the capital stack that may come out in the future?
Gregg D. Adzema: Absolutely, no commitment here, I mean we’ve got a place for (inaudible). And so we’re monitoring that. But our Series B preferred is beyond its five-year lockout. It has an above market coupon. And so I think it’s absolutely a potential use of proceeds whether we use common equity issuance or other sources of the capital to take it out.
Brendan C. Maiorana – Wells Fargo Securities, LLC: Okay. And then just last one; so I appreciate sort of all the detailed guidance that you gave and then the detailed disclosure in the supplemental. I think if I went back to your guidance at the beginning of the year or when you reported Q4 results. It seems like 191, not only where you better in the quarter, but you’re projecting when that will be better for the reminder of the year. But then also prompt two, I guess was, it was better this quarter, but I gather that the Norfolk Southern move out was maybe a little bit unexpected, because I think the forward guidance on that is lower than what you have provided previously?
Gregg D. Adzema: Yeah. That’s right. There was an adjustment to our previous guidance. We weren’t sure on Norfolk Southern to be honest and we’re confident, Norfolk Southern usage is kind of temporary basis, they renovate their headquarters next door. And there’s the potential, they come back to us and continue to take some more space down as they renovate other floors. But you’re right. We had a terrific first quarter. But the balance of the guidance was adjusted primarily driven by the Norfolk Southern lease.
Brendan C. Maiorana – Wells Fargo Securities, LLC: And the better outlook on 191 is there anything specific on that or is it just that the expense controls have been maybe better than expected?
Lawrence L. Gellerstedt III: Exactly. I mean, it’s like said, it was a lot of little things that actually add up to a pretty good number and a big part of that is expense control.
Brendan C. Maiorana – Wells Fargo Securities, LLC: Okay, great. Thank you.
Operator: And our next question comes from the line of Michael Knott from Green Street Advisors. Please proceed with your question.
Michael Knott – Green Street Advisors: Hey, good morning guys; just wanted to ask Larry about your comment on Third and Colorado. I’d assume your comment, your preleasing target had moved around a little bit over some of the last calls that I presume you’ll announced construction and there will also be some level of pre-leasing along with that?
Lawrence L. Gellerstedt III: Yes. I think that’s – you can count on, there will be a level of pre-leasing and the thing that I think is very compelling in Austin is when you look at the job growth that the market has been having, not just what’s looking forward, but what it has throughout the debt. And then I know you guys spent sometime in Austin, but if you look at the rent structure of the top buildings in the market, which are at or above replacement cost. it’s a pretty compelling value proposition for customers as well as the underwriting spreads that we think we’ll be able to generate between our development yield and bought reasonable exit caps this type of market will generate. So we feel good about it, and as I said, we could feel like we’ll be announcing something very shortly getting started on that.
Michael Knott – Green Street Advisors: Okay. And any ability to comment on whether that pre-releasing that we’ll see is towards the upper end of kind of a I think the maximum range you said before was 50 and maybe on the lower end, 20 to 30, but I could be off on that. Any comment on where that might shake out when we see it? Close to the one or the other?
Gregg D. Adzema: I’d really rather – just let us get the announcement out. We’ve got some negotiations going on and as I said, we’ll give full color on exactly where everything is when we announce it.
Michael Knott – Green Street Advisors: Fair enough. And then how do you feel about the vacancy at 816? Obviously, will be a bit different than Third and Colorado, the space you have to lease there. Can you just comment on how you think about – how those two buildings maybe contrast with each other in terms of what tenants you’ll be attracting or who might lease the space there?
Lawrence L. Gellerstedt III: Sure, it’s an interesting history at 816 because actually our team in Texas redeveloped this building in the 90s and really turned the building around and vanished it for a number of years. So we know the asset really, really well with our team on the ground there in Austin. And what this really does is we went after this, we looked at it from a standalone standpoint of why did 816 have the vacancy in it and we think a large reason for the vacancy in it was that it had a unstable ownership structure the last two or three years. And that ownership structure just led to some tenants leaving the building and so we think one, just being local and knowing the building, knowing the market will greatly increase the tenant interest in that building. And secondarily, we think that because of that ownership structure, maybe they were a little aggressive in asking rents and so we’ve underwritten obviously what we think is market. But we also looked at it from a standpoint of if we go with Third and Colorado, does that change our view and it really was a positive on both fronts because what it does is it gives us two price points in Austin market. So we’ll be the local player in the market with the new building going up and we also will have a very attractive asset in the market that will be in a different price point. So we’re seeing this being extraordinarily complementary.
Michael Knott – Green Street Advisors: Thanks for that. And then there’s obviously one of your peers is marketing an opportunity in the suburbs, any interest in expanding beyond the CBD in a more sizable way than you are right now?
Lawrence L. Gellerstedt III: Are you taking about in Austin?
Michael Knott – Green Street Advisors: Yes, in Austin. Yes.
Lawrence L. Gellerstedt III: No, not at this time.
Michael Knott – Green Street Advisors: Okay. And then if I can ask one more just about Atlanta. I think you had said before, you’re still working on bringing that concentration down to maybe 40% over time. It sounds like maybe there is a couple of other opportunities in the near-term in Atlanta. Can you just talk about how are you feeling about Atlanta overall, maybe what inning the market is in generally there in Atlanta? Thanks.
Lawrence L. Gellerstedt III: The concentration issue, we really said that Atlanta would always be, at least for the foreseeable future, it would be 50% plus of what we do. We just – we’re trying to take that concentration down from what we had. And we have largely – we have done a lot of that and continue to do a lot of that particularly with the sales we’ve had on our retail centers. But the Atlanta market is, obviously, because of housing and some other things. It’s still a lot lower than it traditional has in the down part of the cycle. But the market is really coming back in a pretty strong way. There is still a good deal of room before rents and vacancy given the point that any kind of new construction is a threat. But you are seeing a lot of tightening. The Buckhead, the four office buildings in Buckhead, they got so much attention,1 million to 2 million square feet was added in that market are all over 85% leased at this point and space is actually getting a little tight in those buildings for somebody that wants 50,000 or 60,000 square feet of continuous space. The central parameter market, you’ve had a lot of tightening going on in there and we’re seeing a lot of tenant interest in Midtown as well. And it’s both expansions and it’s relocations from outside. So State Farm has added over a million square feet the last year. Here you’ve got a lot of other expansions going on and you’ve got – we feel positive about Atlanta. And because it’s further behind the recovery cycle, we’re still when our sharpshooter had all – just looking at a couple of specific assets, they may or may not trade but we wouldn’t hesitate at the right price to add a little bit more concentration to Atlanta.
Michael Knott – Green Street Advisors: Hey thanks and nice work on the balance sheet and acquisitions so far this year.
Lawrence L. Gellerstedt III: Thanks Michael.
Operator: (Operator Instructions) Our next question comes from the line of Dave Rodgers with Robert W Baird. Please proceed with your question.
Dave Rodgers – Robert W. Baird: I’m sorry; I missed some of the call. But Gregg, do you mind giving a little more color on retail versus office leasing maybe new and renewal activity in breaking those out, and I guess maybe even more specifically diving down into some of the margins on a sequential or year-over-year basis, as its leasing getting better not only in volume, but in terms of price. And if you can give us any color on that, that will be great?
Lawrence L. Gellerstedt III: Well, I’ll start with the new versus renewal, and the office versus retail and that we can go from there. So office total for the quarter was 397,000 square feet. The retail total for the quarter was 130,000. The net of those two is the 527,000 we reported. So within the 397,000 of office, 171,000 was new, 226,000 was renewal, and within the 130,000 of retail, 54,000 was new, 76,000 was renewal. So those are the numbers. And then in terms of the margin discussion as I kind of talked about in my prepared remarks, our strategy is to buy assets with vacancy and to buy value-add opportunities. And as you know when you look at these office towers, a lot of the expenses are fixed. So when we’re buying assets, oftentimes we’re buying them eventually at very low operating margins. For the first year or two until they’re stabilized, margins sometimes sub-50%, even down to the 30% area. I think we bought 2100 Ross. At first, it had a 37% operating margin, day one. So that’s why it’s critical that we’re going to talk about margins, we’ve got to peel out all of those and just talk about kind of the stabilized same property pool. And in that regard, the margins are at 62% on an apples-to-apples basis. And that’s up slightly from sequential and it’s up over last year as well. And it’s actually something that we’re going to start to put, as we spend a larger same property pool and a larger stabilized portion of our portfolio, and that becomes more important. We’re going to go ahead and start to provide that margin information in our supplements. So you’ll see that, it’s not in the next supplement. so you’ll see that, it’s not in the next supplement, certainly the one following that and when we do provide that we’ll provide historical context as well.
Dave Rodgers – Robert W. Baird: Okay. That’s great, thank you. I think with regard to the proposed sales, I think you said Murfreesboro and Tiffany, any expectation for timing and demand around those. is it too early or you have any good clarity around those transaction?
Lawrence L. Gellerstedt III: We took those out to market in April, and there is a tremendous amount of interest as you would expect. These are fantastic assets, well leased and great locations and just as we were answering the question earlier on the buy-side and the sell-side, you’ve got a lot of demand. And so we think we’ll see pricing come in over the next few weeks and we’re very encouraged by just the level of interest and sort of some preliminary indications of when that might come out.
Dave Rodgers – Robert W. Baird: And then maybe last one, again, going back to Gregg is, do you have any outstanding 1031 or [reversed] 1031 transactions that you’re looking at or credits that you have to use up or with these two sales, do you expect to have any that you have to deploy back into new properties?
Gregg D. Adzema: None that I have to use up and neither [resales] will generate the need to do any, it’s nice and clean.
Dave Rodgers – Robert W. Baird: All right. great, thank you.
Operator: Our next question comes from the line of Michael Knott with Green Street Advisors. Please proceed with your question.
Michael Knott: Are you guys able to just comment on overall current mark-to-market across the overall office portfolio?
– Green Street Advisors: Are you guys able to just comment on overall current mark-to-market across the overall office portfolio?
Gregg D. Adzema:
, :
Michael – Green Street Advisors: Not that accounting, right that, and at the time, you have acquisition or is it?
Gregg D. Adzema: Exactly.
Michael – Green Street Advisors: Any sense of where your runs are versus today’s market?
Gregg D. Adzema: Well I think, let me see if this answers the question. In Atlanta, as we’ve talked before, rents now will go up that much and never go down that much on face warps. And so I’d like to say that the mark-to-market, if you spread it out over all of our Atlanta portfolio, wouldn’t be very big in one direction or another. We’ve got a couple of buildings that rents may be a little bit over market, the newer buildings; the current rate, but we also have buildings that’s under. In the Texas markets, you’re seeing very solid rent growth going on in those buildings. And so we’ve been able to push rate a little bit on 2100 Ross from our initial underwriting. we’ve actually done about 30,000 plus square feet of leasing at Post Oak Central just in the few months we’ve owned that and those spreads have been licensed well, it’s too early to tell on Texas. So rents are in the right submarkets in Texas. We’re rolling up some. In Atlanta, they’re stable, but still relatively flat. But the tenant improvements in free rent are tightening in Atlanta.
Lawrence L. Gellerstedt III: Hey, Michael, I’m going to try to – maybe it helps and maybe it doesn’t, but I think it will give you a good relative sizing. Our most recent acquisition for the subsequent one at 816, but the one that’s on our Post Oak Central, which we bought stabilized at 92% which we believe and the market believes has many rents over the market. Of that $85 million I just quoted, $28 million of that is attributable to the Post Oak Central mark-to-market. So I know it’s hard to put that in your mind, it just tells you on a relative basis that those rents were, are and were materially below market.
Michael Knott: Right, okay. And that’s helpful from both of you. Thanks. Any update on Birmingham, couple of office properties there, are you still looking to shed those?
– Green Street Advisors: Right, okay. And that’s helpful from both of you. Thanks. Any update on Birmingham, couple of office properties there, are you still looking to shed those?
Lawrence L. Gellerstedt III: Birmingham is not a strategic market for us. We are going to be generating a fair amount of proceeds from the sales some of our retail portfolio. So we’ll just match where we see opportunity and use for those proceeds as well as what our balance sheet needs might be. But they’re on the radar but not anything that we’ve got it motion right now.
Michael Knott: Okay, thanks. And then Larry, I think that you had mentioned tenants; you’ve seen some tenants starting to expand, which was sort of something new in this cycle. Does that pertain pertained, just the taxes, the result in overall comment.
– Green Street Advisors: Okay, thanks. And then Larry, I think that you had mentioned tenants; you’ve seen some tenants starting to expand, which was sort of something new in this cycle. Does that pertain pertained, just the taxes, the result in overall comment.
Lawrence L. Gellerstedt III: Now that actually, they’ve then expanded in Texas. That really was more of an Atlanta comment is that as I look at our book of leasing this quarter, it’s really encouraging that you’re beginning to see that our small and midsize tenants start to expand some, and that it’s not a huge number today, but it’s a growing number and that’s encouraging for a lot of reasons.
Michael Knott: And are you guys seeing any real densification among tenant in your markets or is that not a trend that really hit your markets for a rent lower, or et cetera, et cetera?
– Green Street Advisors: And are you guys seeing any real densification among tenant in your markets or is that not a trend that really hit your markets for a rent lower, or et cetera, et cetera?
Gregg D. Adzema: No. I think if you take – in any of our markets, if you take a tenant today that is looking at their space that they found a lease on 10 years ago. In their businesses, a sign in the hand change, the number of employees and they decide to move, they generally can take less space. and it just depends upon the type of tenant that it is a looking for dense use of their space is just like our other peers are seeing.
Michael Knott: Okay. Thank you.
– Green Street Advisors: Okay. Thank you.
Operator: All right. So, Mr. Gellerstedt, there are no further questions at this time. I would now turn the call back to you. Please continue with your presentation or closing remarks.
Lawrence L. Gellerstedt III: Well, once again, it’s been a fun quarter and a lot of exciting things going on here at Cousins. We very much appreciate all joining us this morning and we look forward to seeing you or talking to you soon as always, Gregg. And the rest of us are available anytime for any questions or thoughts you may have. Thank you very much.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.